Executives: Stephen Sterrett - Chief Financial Officer and Executive Vice President Richard Sokolov - President, Chief Operating Officer, Director and Member of Executive Committee Shelly Doran - Vice President of Investor Relations David Simon - Chairman, Chief Executive Officer and Chairman of Executive Committee
Analysts: Jonathan Habermann - Goldman Sachs Group Inc. Benjamin Yang - Keefe, Bruyette, & Woods, Inc. Omotayo Okusanya - Jefferies & Company, Inc. Ki Kim - Macquarie Research James Sullivan - Cowen and Company, LLC Steve Sakwa - ISI Group Inc. Christy McElroy - UBS Investment Bank Carol Kemple - Hilliard Lyons Jeffrey Donnelly - Wells Fargo Securities, LLC Gautam Desai  Richard Moore - RBC Capital Markets, LLC Alexander Goldfarb - Sandler O'Neill + Partners, L.P. Robert McMillan - S&P Equity Research Ross Nussbaum - UBS Investment Bank Michael Bilerman - Citigroup Inc Michael Mueller - JP Morgan Chase & Co Nathan Isbee - Stifel, Nicolaus & Co., Inc. Craig Schmidt - BofA Merrill Lynch Cedrik Lachance - Green Street Advisor Paul Morgan - Friedman, Billings, Ramsey & Co.
Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2011 Simon Property Group Earnings Conference Call. My name is Pam, and I will be your conference operator for today. [Operator Instructions] I would now like to hand the presentation over to your host for today's call, Shelly Doran, Vice President of Investor Relation.
Shelly Doran: Good morning, and welcome to Simon Property Group's second quarter 2011 earnings conference call. Please be aware that statements made during this call may be deemed forward-looking statements, and actual results may differ materially from those indicated by forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer to our reports filed with the SEC for detailed discussions. Acknowledging the fact that this call may be webcast for some time to come, we believe it's important to note that our call includes time sensitive information that may be accurate only as of today's date, July 26, 2011. During today's call, we will discuss certain non-GAAP financial measures as defined by the SEC's Regulation G. Reconciliations of these measures to the most directly comparable GAAP measures are included within the earnings release, or the company's supplemental information package that was included in this morning's Form 8-K. This package is also available on the Simon website, in the Investors section. Participating in today's call will be David Simon, Chairman and Chief Executive Officer; Rick Sokolov, President and Chief Operating Officer; and Steve Sterrett, Chief Financial Officer.  I will now turn the call over to Mr. Simon.
David Simon: Okay, good morning, everybody. Thanks for joining us. We reported FFO of $1.65 per share for the quarter, which represents an increase of 19.6% over the prior-year period. These results exceeded the First Call consensus by $0.07, and we now have met or exceeded expectations for 28 of the past 30 quarters, which we believe is one of the best records in the REIT industry. Of course, I would like to talk about 2 of the quarters, the 2 quarters that we did not do that. One was an impairment charge which we took on liberty, which is now fully recovered, and the other was just the timing issue, which we made up in the subsequent quarter, and in fact, in that year, we exceeded our -- both consensus in our initial guidance. So 28 of the past 30 quarters, we have met or exceeded our First Call consensus estimates. Let's talk about the portfolio. Total sales on a rolling 12-month basis were $513 per square foot, up 9.4% from $469 as of June 30, 2010. Occupancy was 93.5%, an increase of 40 basis points higher than the year-earlier period, and 60 basis points higher than the first quarter. The releasing spread for 12 months was $4 -- positive $4.60 per square foot. Our releasing spread continues to include all in-line space, including spaces larger than 10,000 square feet. Comparable property NOI growth for the quarter was 3.5%. And I want to put that in context, that in 2010, our second quarter comp NOI growth was a positive 1.9%. So it was not off a low base, given the fact that 2010 was still in recovery mode. Let me turn to development activity. We have 2 new developments under construction, both the Premium Outlets. Johor, Malaysia, which will open in November of this year and Merrimack, New Hampshire, which will open next summer. Leasing activity is strong for both projects. We have 18 renovation and expansion projects under construction, with completion dates in 2011 and '12, and the restoration of Opry mills continues, with the completion expected in the spring of 2012. We currently plan to invest approximately $650 million in domestic and international development and redevelopment activities in 2011. And our number, though still in process, is approximately $800 million in 2012. As always, details on costs, returns and timing of these projects are provided in our supplemental reporting package. In June of this year, we sold the Jefferson Premium Outlet, our Prime Outlets, I should say, for $300 -- oh, I'm sorry, $134 million. We used $86 million of those proceeds in a 10/31 exchange last week to acquire ABQ Uptown, a 222,000 square foot lifestyle center in Albuquerque, New Mexico, the center which generates sales of approximately $650 per square foot, adds to our presence in a growing Albuquerque market area where we're also on Cottonwood Mall.  Let me switch to capital markets, during the first 6 months of 2011, we close our lock rate on 50 new mortgages, totaling approximately $1.6 billion, of which our share was $1 billion, the weighted average interest rate on the loans is 5.1%, and the weighted average term is 9 years. As of June 30, 2011, we have $1.1 billion of cash on hand, including our share of JV cash and our availability on our corporate credit facility at $3 billion, for a total liquidity position of $4.1 billion. And as we said before, we still expect to generate $1 billion, more than $1 billion of cash from operations after dividends.  Japan, let me just tell you that we've reopened Sendai Premium Outlet, which was damaged by the earthquake and closed on June 17. The center reopened, and the response of the shoppers has been very positive. Costs of the repair of the center other than the deductible is covered by insurance. For our other 7 centers in Japan, things are returning to normal, and we continue to like the prospects in our Japanese business and admire the will of the people in Japan as they rebuild and grow their country after some of their tragedies. Now let me turn to guidance. Based upon our results for the quarter and expectations for the balance of the year, we increased the low-end of our 2011 FFO guidance by $0.10 per share and raised the top-end by $0.08. The midpoint of the range of our current guidance is $0.165, above the midpoint of our original 2011 guidance that I provided in February.  Let me just mention in Main Street Fairness Act, you've seen some editorials. In fact, in The Journal today, there is an article in The Journal. You saw the Indianapolis Star wrote an editorial on it. And let me just say that we've been very vocal about the unfair advantage that Internet retailers have and not being required to collect sales tax. We are urging Congress to introduce and pass the Main Street Fairness Act, which will allow states to end the subsidy being provided to retailers such as Amazon.com. Let me be clear, this is not a new tax, but would merely require Internet retailers to collect sales tax on behalf of the states where they do business, something that brick-and-mortar retailers and even those who sell on the Internet have done for years. And this is required by law. The economy is helped by having a level playing field, allowing an open market to determine consumer behavior without government subsidies, which we believe, is occurring for the online retailers. Now just a few concluding remarks before Q&A. We are certainly proud of the size and scale of the portfolio we have at SPG. As we have said it many times, our businesses where scale can be truly an advantage. And I believe that our industry-leading operating results, growth and profit margins are absolute testament to that. I do think, however, that sometimes, the quality of our portfolio is not fully appreciated. Our portfolio is second to none in our industry. We own more of the countries' iconic shopping destinations and centers by far. And to help illustrate this fact, I will point out a few facts. First of all, in the mall sector. The 20 malls from which we get the most EBITDA, provide approximately $800 million of EBITDA annually, and this is our share. As of June 30, these 20 properties generated sales of $777 per square foot. Now let me turn to our top 20 value centers from which we get the most EBITDA, provide over $600 million of annual EBITDA, again, this is our share. And as of June 30, these 20 properties generate sales of $721 per square foot. And just as a reminder, given the focus on the value in outlet sector that seems to be occurring in the marketplace, our share from projected this year from that platform will generate approximately $1.5 billion, that's $1.5 billion of EBITDA from our value-oriented centers, both mills and the outlets. So with that, operator, we're prepared to answer any questions.
Operator: [Operator Instructions] Our first question will come from the line of Jeffrey Donnelly with Wells Fargo.
Jeffrey Donnelly - Wells Fargo Securities, LLC: David, since you left off with the outlet center, I guess I'll start there. First, here at home, there's been a growing push to recast busted malls or retail projects as outlet properties. Are you concerned that supply of new product could exceed demand in some markets and segments? And how do you think about differentiation in that sector to a sure success? Is it location, size, price point, what you do you think?
David Simon: You broke up the first part, could you -- I didn't hear it at all. Could you...
Jeffrey Donnelly - Wells Fargo Securities, LLC: Yes, that's fine. I was saying that there's been a push here at home in the U.S. to recast retail properties as outlet-focused property. Do you think there's some risk that the supply of assets could surpass the demand in the next few years?
David Simon: Look, my own view is that, I think it's going to be a challenge to build many of the new outlet centers that are being bandied about. There has been a list of 50 outlet centers out there that are in pre-development stage for several years. We think, obviously, demand is good but the retailers and manufacturers are very sensitive to where outlets can be put. And so we think the market should be circumspect to the amount of new outlet development that's being talked about. There will be some, I think it'll be more challenging than what people believe. I do think there'll be some mistakes made, but I don't see a redux of the lifestyle center development. Never put it past real estate developers to overbuild, but I'm hopeful that year after year, experience will lead to a better judgment. In this case, I do think the retailers and the manufacturers are very sensitive to their full price operations. And I think that's a governor here that probably will not be a redux of what we saw in the lifestyle center area. And I think the redevelopment of existing enclosed malls to do this again will be in that same category, and more challenging than people lead on.
Jeffrey Donnelly - Wells Fargo Securities, LLC: And sticking with outlets, where do you see the development yields on Johor, compared to, say, the projects in Japan and Korea? And I'm just curious, thinking down the road, ultimately, how big of an opportunity do you think there is across Asia for outlet properties in your portfolio?
David Simon: Well, the yields there are actually -- we think they're going to be fantastic. The yields in Japan have been very high, I mean higher than in the U.S. Malaysia, we're projecting to be higher than the new development yields here. And we think all of the -- everything that's lined up to build there is -- the consumer is there, the growth in income is there. They love the American European brands. So it's all lined up to continue to grow that. We've been successful in everything that we've built from Korea to Japan. We see the same thing in Malaysia. As you know, we're back to really seriously thinking about China for outlets. So we think there is an opportunity, continue to grow that business in Asia for us. Hard to put firm numbers on it yet, but the good news is, we've got 10 centers, soon-to-be 11, and we've got a good, good solid business already up and running. And we've been at it for several years.
Jeffrey Donnelly - Wells Fargo Securities, LLC: And just one last question on asset sales here at home. You guys have been in the market with some malls recently, and business and transactions on A malls. I'm curious, where do you see pricing on sort of A, B, and I guess I'll say, C assets right now, because we've heard some A malls actually touching 5 caps or lower, and I just love your perspective.
David Simon: Well, we have seen some -- again, we've seen some price talk on some, let's call them, A assets, I'm not sure whether they're a mall or an outdoor center or however you want to describe it. A couple of these, we think are more salty than they should be, because we don't see the growth that other people that are buying them see. We could be wrong, they could be right, but we think pricing on some of these individual assets that are out there are still what we see is very aggressive given the lack of growth characteristics in some of these assets. Now on the B and C, Jeff, I would tell you, we're still all in the discovery mode in terms of where the market is. Obviously, we've told you we have nothing to announce in that area, though we do have a very small amount of malls for sale as part of our strategy that we've had for years, to sell assets here and there. We, the B and C assets are more dependent on financing, the financing market in that area continues to be somewhat volatile. And I still think we're in price discovery on those kind of assets.
Operator: Our next question comes from the line of Quentin Velleley with Citi.
Michael Bilerman - Citigroup Inc: It's Michael Bilerman here with Quentin. David, let's just start with you. Obviously, during the quarter, you had your employment contract set up under a long-term basis. And I won't just focus just in terms of the length of time that it got to take to that place and, obviously, when the proxy came out in April, it was disclosed that you were working with the board towards something. And then in the disclosure, you talked about the taking -- that you've had negotiations for 18 months. And I'm wondering if you can just talk a little bit about what transpired over 1.5 years in terms of setting the goals that you wanted achieved and that the board want to achieve, and I guess how you ultimately got it resolved, perhaps back a couple of weeks ago.
David Simon: Well, it -- look, I think Michael, it took longer than it should have. And I think part of the length of it is just the care that the comp committee took in deciding what was appropriate. We -- obviously, these kinds of things, are very sensitive, very focused given the -- rightfully, I've no problem with the scrutiny that something like this comes with. And I think, again, I wasn't privy to the comp committee's deliberations, but my guess is, given the -- what was going on, that they took a lot of time to feel comfortable with it. Now -- and also there has been a lot of volatility in the world during this period of time. So -- and obviously, my primary focus over the last 20 months has been running this company, and this has not been the #1 agenda on my plate. I do think, again, I was not part of the comp committee deliberations, but my guess is they studied past performance. I'm sure they looked at some of the recent comp deals that were out there for new and existing chief executives. I'm sure they considered, if, for whatever reason, they had to replace me, what it would cost for a new CEO. And just generally, what are the requirements that the company needs to lead the company from a CEO in the future. With all that said, I think they concluded that the deal they struck with me was in the best interest of the company. And the share amount was generally the same for that long period of time. And so the size of the apparent transaction, so it's an 8-year deal, which I think the market sometimes loses sight of, got bigger because, obviously, the stock performed -- has performed well over that period of time. So I don't know if that answers your question, but they were sure they were very deliberate in their efforts. I was very focused on running the company, and we've been living in a very volatile world. You put all that together and it takes a pretty, pretty long time. From my standpoint, look, I've been doing this for -- I've been running this company for 16 years, and I -- it was appropriate for me to kind of assess where I was, what I wanted to do in the future. And I wanted to work out a deal that recognized what I brought to the table. And over that 16 years, I want you to realize that I've never had an employment agreement. I've never had a deal, and both from my standpoint and I believe the comp committee standpoint, though I can't speak for them, we both felt it was appropriate to negotiate something for a longer period of time that delivered a certainty and that we all felt, myself included, because I'm a shareholder, that was in the best interest of the company.
Michael Bilerman - Citigroup Inc: And you get to do 32 more earnings calls.
David Simon: Yes. I can't guarantee the performance we've had in the past 30, but hopefully, we'll have some level of success along those lines.
Michael Bilerman - Citigroup Inc: That's helpful color. Just diving into the portfolio stats you gave at the end of the comments, the top 20 is the top 20 malls and the top 20 value, the value you are saying are what? Mills and outlets centers? That's how you're combining that?
David Simon: Yes, we are now. It included a couple of mills, but generally, we included both.
Michael Bilerman - Citigroup Inc: And so you're looking at, for those top 40 assets or about $1.4 billion of EBITDA on a basis of call it, $3.5 billion, $3.6 billion, so 40 assets, 20% of the asset base is generating 40% of the EBITDA, is that the way we should think about it?
David Simon: Correct, Mike. And that's our share as well.
Michael Bilerman - Citigroup Inc: Right. And then, so when you step -- the rest of the portfolio, probably, is mid-400s in terms of productivity?
David Simon: Well, look, we gave you some facts today, maybe we'll give you more facts later. But that -- we thought that would be helpful for people to understand. At least, again, people lose sight of kind of the quality that we have embedded because of the size, we understand that. We don't like the tier assets, even though Rick does and it bothers me, but I let him do it. But we want people to know that our top 20 assets in these categories generate a lot of cash flow. And I think over time, we'll be more descriptive to everyone, kind of how we look at it. But that's what we want you to start thinking about at least today.
Operator: Our next question comes from the line of Jay Haberman with Goldman Sachs.
Jonathan Habermann - Goldman Sachs Group Inc.: Maybe following up where Michael just left off, on the top 20 on both the malls and the value centers. Can you -- are you willing to share, David, perhaps, some of your near-term outlook? What you think NOI growth could be perhaps for some of this top tier assets relative to the rest of the portfolio?
David Simon: Well, I don't have a specific number, but it's safe to say that these are under-rented and they're going to grow faster than our average, and they possess a lot of upside. But I don't have a record. Steve, do you want to add anything? But I don't have anything more to say other than that. They certainly, historically, have generated significant EBITDA growth, better than our average.
Jonathan Habermann - Goldman Sachs Group Inc.: And maybe even just stepping back broadly, for the entire portfolio, if you think about this recovery to date combined with sort of where the economy is today and somewhat mixed, what's your general perspective in terms of where we are for rentals going forward in the cycle?
David Simon: Well, I would say, we feel pretty good other than -- there are a couple of tenants out there that, again -- I'm not going to name names, because we certainly shouldn't be in that business publicly. But there are -- a couple of tenants there that are sizable mall operators. When I say mall, that could be both outlet and full-priced malls that are still haven't had the benefit of the recovery that are going to put pressure on the industry, and us included, in terms of renewals and potential store closures and the like. And that's the biggest headwind. Now we've had that headwind, hasn't gone away, so we've been managing our way through that headwind. But that, to me, is the biggest headwind that's out there for us in terms of what we have to deal with on a day in, and day out basis. Our leasing people, obviously, understand that. They know that, and they're out humping to find those replacements, either through voluntary or lease expirations or to the extent that even 1 or 2 of these guys could end up in a Chapter 11, so that's the governor right now that we see. The consumer actually -- I feel a little bit better about what we all know. We live in a extreme volatile world, we could witness last night and understand that, what happened on TV last night. But I would say that's the biggest headwind that we've got to deal with.
Richard Sokolov: And the only thing I would add, it's Rick, is that our portfolio is not static. So as you look at the potential for NOI growth, we're renovating 20 properties, we're adding a considerable number of additional anchors. We just announced in today's press release, 3 additional department stores, as we continue to lease up our properties with more productive and impactful tenants and restaurants. We're enhancing the market share, and the better we make our properties, the faster our growth is going to comp.
David Simon: And we've got some major redos that are in works, that we may take some space out of service, that we're redoing the food court, all sorts of that stuff. That, again, is not overly material, but it might have a somewhat of a governor on our EBITDA growth. But we're performing -- the point is, we are performing better today than we thought we were, and we're bidding our budgets and that's the good news.
Jonathan Habermann - Goldman Sachs Group Inc.: And I guess, Rick, sort of took my last question, but if you think about the $650 million of development, redevelopment of this year, and $800 million, I guess you're planning redev for next year. It sounds like that $1.5 billion target you guys had outlined for 3 years, you're perhaps cannot well exceed that. Is that a sign of you just want to reinvest more in the existing portfolio, rather than look for acquisitions at this point in the cycle?
David Simon: Well, I think those process, at this point, greater opportunities for us. We've always felt taking what we've got and making it better is a huge priority. One of the reasons why we brought David onboard was to help us do all of it, is there to do with the existing portfolio. And we're -- I'd say from that standpoint, we're very pleased with the amount of activity that our teams are generating. And that's not just the malls, the outlets, I mean, we've got expansions in the outlet side that we feel good about. Like in Seattle and Chicago, potentially in Woodberry, Commons, Allen, just to name a few. So the best thing we can always do is take a good property and make it better. And now that we feel good about capital and feel good about what our teams are doing, that's the #1 priority.
Operator: Our next question comes from the line of Paul Morgan with Morgan Stanley.
Paul Morgan - Friedman, Billings, Ramsey & Co.: Just on international, I just want to get a feel for how you're thinking about the investment landscape outside the U.S.. I mean, you have your Asian developments, but have you thought more recently about acquisitions? I mean a lot more U.S.-based mall retailers are looking to grow outside the U.S. I don't know if that's having any input into that way you think about international investment, but both kind of from an acquisition perspective, and then, maybe anything that would lead you to accelerate your development pipeline beyond the sort of a couple other time you've got going in Asia.
David Simon: Well, the development side internationally, you're talking?
Paul Morgan - Friedman, Billings, Ramsey & Co.: Yes.
David Simon: Look, I think the big frontier there is whether or not we do something in China on the outlet side, and that, and we're spending a lot of time on that front. And we've got, at least, a couple more Japanese outlets to do, and we're looking at another one in Korea. And so the answer in the Asia new development is, I mean, we still want to dot Is, cross the Ts, but there's more to do there. And that could be accelerated to the extent that we do something in China. International, generally, when you talk about acquisitions, we mostly talk about Europe and potentially, what's going on in South America. And I will tell you that we're thinking a lot about it, it's very interesting. When we initially went into Europe in '98, we had this premise that the U.S. retailers were going to come, fact of the matter is, they didn't come, now they're -- but we were still successful. Now they're coming, so there is some industry logic to do it. We have felt comfortable we could add value, but the deal is there to do a sizable dealer. We don't want to just buy a one-off here and there. We think we would really want to try and create or invest in the platform. Those deals are not easy, but it's on our radar screen. We spend a lot of time thinking about it, but it's very hard to predict or -- in fact, whether or not anything will ever transpire there. And the math is always a challenge and -- which we don't feel compelled to plan a big flag there, because we've got lots of stuff to do here and lots of growth opportunities with our existing platforms including Asia.
Paul Morgan - Friedman, Billings, Ramsey & Co.: But the focus of this, right now, is kind of equally, like develop Europe and South America, say...
David Simon: Yes. I mean I think we've studied a lot in both markets. We actually have a trip scheduled, Contis knows Brazil pretty well. He served on the board of BR malls for a long time. That's a market we're not in, who knows? I have my own view. It looks a little toppy [ph], but I mean, long run, long-term, you've got to look at all these things.
Paul Morgan - Friedman, Billings, Ramsey & Co.: Do you think we'll have news about kind of what you're thinking about doing in China, this year sometime, or...
David Simon: Potentially.
Paul Morgan - Friedman, Billings, Ramsey & Co.: Okay. And then my last question, just maybe for Rick. Could you walk through, maybe, some of the -- we're not hearing much about that many new concepts in the malls, compared to maybe other points in the cycle, I mean, could you talk about who sort of your -- you've been doing deals with, and particularly anything that might be a growing concept?
Richard Sokolov: Well, we've got a lot of going on with a number of our traditional retailers. And -- but in terms of the new ones, Love Culture, Pandora Lego, Sperry, Francesca's, Divona, Cotton On, Made Well, lululemon, Michael Kors, Tilly's, those are all relatively newer concepts, and they're all growing very aggressively in our properties. So from that regard, it's very encouraging, and when you also take into a fact that recently, we had the Fresh Market, Francesca, Pandora, went public, Divona, I think, is going this week. So the equity markets are being very receptive to providing growth capital to our retailers, and that's certainly benefiting us.
Paul Morgan - Friedman, Billings, Ramsey & Co.: Some of the existing concepts have been trying to downsize lately, I mean, are you seeing it kind of work both ways? I mean, are as many concepts looking to grow or is it kind of a general theme of trying to get your space to be more efficient?
Richard Sokolov: I think that for the more mature concepts that are saying, our store camp, perhaps, is too large or not as productive, we've got people that are very focused on growing. And the fact that our occupancy keeps going up is a testimony to that.
Operator: Our next question comes from the line of Cedrik Lachance with Green Street Advisors.
Cedrik Lachance - Green Street Advisor: Looking at the activity on the big box side, obviously, you've added a lot of big boxes and -- or you will be adding a lot of big boxes in the near-term. David, do think it prevents some mall development, when you have the likes of Macy's adding a lot of space in existing malls?
David Simon: Yes, I think so. Rick, you want to...
Richard Sokolov: I think that one of our main strategies is trying to maintain the viability of market share of our properties. So to the extent that there is demand in a given market, to the extent that we can capture that demand by expanding our existing properties, it's a win-win for us. As David pointed out earlier, that's the surest way to get appropriate risk-adjusted returns. And in addition, we're making our property stronger.
David Simon: Yes. And I think the demand from the boxes to go into proven retail centers, including the malls, is just greater. So we're taking advantage of that trend. And the pressure out there -- certainly there's pressure on certain malls, but there is a lot of pressure on a lot of strip centers, just because if you lose an anchor or 2 in a strip center, that thing comes under immediate, immediate pressures. So the boxes seem to want to relocate where the action is, and in many cases, that being closed shopping center.
Cedrik Lachance - Green Street Advisor: Okay. And as far as preventing development in the future centers, do you hear from some of the big-box retailers, in particular, department stores, that by committing to so many existing malls, it's probably delaying their interests in committing to future developments?
Stephen Sterrett: Well, it's interesting. I just -- we still -- a little bit, but I would tell you that the biggest issue on new full-priced retailer demand is probably not from the boxes, but more just to make the numbers work, and what the real small shop demand is to make the numbers work. That would be my, Rick, you can add to that, but that would be more of the governors and some of the boxes. That wouldn't you -- don't you think?
Richard Sokolov: I agree with that. And just to give you an editorial comment, one of the things that we have heard from our department store and big-box clients that are the retailers, is that 2008, 2009, taught them that who their landlord is matters. And what we're finding is that, there is a higher degree of interest in coming in to properties where they know the landlord has the commitment, has the capital, and has the ability to renovate as needed, bringing new retailers and maintain the market share of those properties. And as David said, there is very little new development out there because there is not enough demand to generate a 300,000 or 400,000 square foot new projects, and so the retailers are looking to come into the established properties.
Cedrik Lachance - Green Street Advisor: Okay, that's helpful. Switching tracks, just talking about outlets for a little bit, you struck a JV with Tanger in Houston last month. Is it some -- is this a partnership you'd like to extend to other markets or was it a one-off event?
David Simon: Well, right now, we're focused on Houston. It's been a very positive discussion with Tanger. There -- we made a handshake and got documented quickly thereafter. We're excited about Houston. We're going to start construction, probably, in less than a month, in August. And we would never rule out doing more business with Tanger. But that's the #1 focus right now.
Operator: Our next question comes from the line of Nathan Isbee with Stifel, Nicolaus.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: Just staying on the outlet centers for a minute, 2 quick questions. As you look at some of the centers that have been announced or been in the press, and the relation -- the position relative to some of your existing centers, specifically to some of the Mills' assets, can you talk about what you've been able to do with the Mill's leases since you acquired that in terms of building in radius restrictions close to what you have at the Chelsea centers -- or the Premium Centers, sorry about that.
Richard Sokolov: From the -- this is Rick. From the Mills perspective, what we have been able to do is really, demonstrate the synergy between our platforms. Because the mills, their motto in their advertising campaign is Mills Means More. We've been able to take the outlet tenants that we have relationships within the premium platform and bring them into the Mills. And we've also taken a number of full price tenants that we have relationships in the mall business and bring them into the Mills. As a result, you've seen very good growth in the Mills, and you have seen substantial increases in the anchors, and the market share in those properties, and this month, the announcement of Macy's building a full-line store Gurnee on a pad that used to be occupied by Circuit City, is the best demonstration of how we're able to really, bring all of those varying tenants under the Mills outlets. In terms of the radiuses, they are less relevant in that property type.
David Simon: Yes. And I would say this, that we're not overly worried that any of these new -- if I caught your question right, we're not overly worried about any of the new outlets being developed is going to have a material impact on any of our existing Mills. So I don't -- I'm not worried about that at all.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: Okay. And just given the success that outlets have had, there's also have been a bit of a move to move the outlets closer into major metro areas and closer for full-priced retail. Do you see the retailers pushing back on that, given the success that they've had at the outlet centers?
David Simon: I think that's harder to do than some of the new entrants in the outlet market you're talking about. I think that's a major issue for retailers and manufacturers. And I don't think they're going to jeopardize their full-priced operations. I do think that when you have a tourist market like a Las Vegas one or an Orlando, as an example, you are able to, because you have new customers that come in every week. Essentially, you're able to avoid the traditional rules. I think that it's -- if a lot of the outlet developers think -- these new entrants, so to speak, think they're going to get retailers and manufacturers to ignore kind of the old rules, we don't see it, because frankly, when we've looked at a number of deals, we get pushed back on sensitivity all the time. And we -- I would say, we know the business reasonably well.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: Okay. And then just moving to the full price, we've heard anecdotes over the last few months coming out of ICSC, that there's been a willingness on the part of the retailers to move the stores to mall levels that they wouldn't have thought about, 6 to 9 months ago. Can you talk about that you've seen in the Simon portfolio?
Richard Sokolov: We certainly have been able to take advantage of the better macro environment to expose our retailers to other market and other properties where they currently don't have stores. So to that degree, yes, we are finding that we are able to bring those retailers that maybe, in the past, would not have looked at a market or a mall that would -- did not have the type of sales potential they thought and try it. And happily, what has happened is that as they have opened these stores, they continued to perform, and that makes them more optimistic and confident about doing additional locations in that type of property.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: Okay. And then I have just one last question. The mobile web-based marketing system you've been talking about, can you just update us on what progress you've made in there and what direction you think it might go?
David Simon: Yes. Happy to, without divulging anything overly material. I mean, we are working with The Boston Consulting Group and our retailers, as we speak, in the design of the product, and we're making very good progress. The retailers that we're in discussions with have been very supportive of what we're trying to accomplish. Those discussions are ongoing. And we are hopeful that by 2012, we will have a product that we will be testing in a few malls, and we'll take it from there. So the goal is to have something of a test nature in '12.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: So you're more likely to develop something on your own versus purchasing?
David Simon: Well, I think you'll see a combination thereof. I mean there is a lot out there that we don't necessarily have to build completely by ourselves, we can partner. It's too early to say. If I had to guess today, it'll be a combination of build and produce ourselves, and partner some of the aspects with others.
Nathan Isbee - Stifel, Nicolaus & Co., Inc.: So what type of capital are we talking about in terms of investments?
David Simon: Too early to tell, but we can handle it.
Operator: Our next question comes from the line of Christy McElroy with UBS.
Christy McElroy - UBS Investment Bank: David, just wanted to follow up on a comment that you made earlier regarding the volatility in the financing markets, and maybe, this is more a question for Steve, as he's on. But can you comment on what you've seen in terms of financing costs and availability for A assets, versus B and C assets in the last month or 2, especially in light of some of the recently weakness in the CMBS markets? And how is demand for some of these lower quality assets in the market being impacted as a result?
Stephen Sterrett: Well, Christy, thanks for asking me a question. I was feeling lonely. Listen, I think you have a couple of things going on. #1, there is still, overall, some more and more financial institutions restarting CMBS platforms. And so I think, overall, the trend line is still good, as what happened in the last of couple of weeks with spreads gapping out, and maybe a couple of deals not getting done quite as well as people had hoped. It's probably just an indication, that it is still an evolving, maturing market, in its reconstituted face. With demand for the different quality of properties, I would echo, I think the comment that Rick or David made earlier. And the fact is, your better properties grow faster, they're higher productivity. There's clearly more demand for lend against that type of assets holding all other variables like loan-to-value constant. But the fact is, we're seeing pretty good demand for products across all the different quality spectrums. And if you've got a good asset and you're reasonable on your loan-to-value, you can get it financed.
Christy McElroy - UBS Investment Bank: Okay. And then question on outlets. Can you provide some additional color on your Toronto project? I know you have zoning approvals, but are there any hurdles from a construction standpoint that could potentially delay construction? And I'm sure you've had discussions with potential tenants about the project, but what's been the retailer feedback so far as it relates to your project versus Tangers?
David Simon: Well, look, I think the good news is, we've picked the market where an outlet center wants to be built. And we're competing hard against the alternative. We've got the site. I think it's just going to be a competition. We're hopeful that we'll get the job done. There is no guarantees that we will. Tenant demand is interested for sure, in building an outlet center there, it's a great market. So there's no real roadblocks from ability other than -- we've got to get the leasing, and I'm sure Tanger needs to get the leasing. And we feel like we're doing pretty good, but we're still got a ways to go. We are hopeful that '12, we start construction. I mean, that's our goal, and we're moving fast to accomplish that, no guarantees on that.
Christy McElroy - UBS Investment Bank: What percentage pre-leased is Texas City given that your breaking ground next month?
David Simon: 50-ish, but it's -- we're very confident in that deal.
Christy McElroy - UBS Investment Bank: Okay. Ross is on line with me as well.
David Simon: I'm sorry.
Christy McElroy - UBS Investment Bank: I was just going to say Ross is on line with me as well, I think he has a question.
Ross Nussbaum - UBS Investment Bank: Just a quick question on Mills, it looks like you've got about $2 billion gross value of debt maturing over the next 18 months. How does that number relate to where Fairlawn is in terms of their potential monetization? And with that $2 billion of debt, do you guys, in the partnership, need to pay down any of that to get the refinancings done?
David Simon: Well, the vast majority of that is the senior loans and our mezz loan. And the fact of the matter is, there's no issue on refinancing the senior loan. It's -- coverages are very strong and the same thing with our mezz loan. So it's really not -- the refinancing of that is really not much of an issue in terms of how we look at it. The exit of Fairlawn is a different issue, and I -- it's really -- I'm not at a point where we can really discuss that. They've been a good partner, they're happy with the investment they've made, and we'll see where it goes. But I wouldn't be overly concerned about the ability to refinance the existing debt coming up.
Ross Nussbaum - UBS Investment Bank: Is it fair to say we should expect a monetization of your partner's interests at some point move sooner rather than later here in the next year or so?
David Simon: It's certainly in the realm of possibilities. So it wouldn't surprise us if that happens, but there is obviously, a chance that they stay in the partnership and we continue to do what we do, which is grow the NOIs, invest in the properties for the future.
Ross Nussbaum - UBS Investment Bank: And can you just remind us, how does the partnership work in terms of that monetization?
David Simon: They have a certain ability subject to right of first offer on certain assets, and they have an ability to sell their interest, subject to a first of right -- right of first refusal. They have some ability to sell certain assets subject to a right of first offer. And then, if they want to sell their interests, it's subject to right of first refusal.
Operator: Our next question comes from the line of Craig Schmidt with Bank of America Merrill Lynch.
Craig Schmidt - BofA Merrill Lynch: I just hope -- I wanted to look at the acquisition, the Lifestyle center. I'm just wondering if -- are you seeing select opportunities in these high productive Lifestyle centers relative to maybe what is aggressive pricing on A malls? I was just, for example, thinking of Plaza Frontenac. When I back out the Yankers, I'm talking about roughly 220,000 square foot of in-line space. I'm guessing the productivity is comparable as is the occupancy, yet you're only paying $86 million, and I'm assuming Plaza Frontenac will go for far greater.
David Simon: Well, let me just say, look, we like the deal we did in Albuquerque, it's very well positioned, and consumers love it, retailers love it, and we think there's upside. We saw one, I don't know what it's called, the Lifestyle center in Carlsbad, that went for, based on how we looked at it and underwrote it, very little growth for a much more aggressive price than anywhere near what we did Albuquerque for. And the other asset you mentioned, we just didn't have any interest in it. So I let others whatever happens to that, no idea. But we just didn't have an interest for it.
Craig Schmidt - BofA Merrill Lynch: And is there an opportunity to, let's say, on the cost of occupancy at ABQ?
David Simon: Yes...
Craig Schmidt - BofA Merrill Lynch: Or is there expansion?
David Simon: Yes, there is potential expansion, and there is, we think re-tenanting it as well.
Craig Schmidt - BofA Merrill Lynch: And just -- I guess, one last thing other than that. Are you thinking of breaking up the borders or are we leasing it as the box that it is?
Richard Sokolov: We're working on both the alternatives. We've already identified 3 or 4 potential users that would take the whole box, but it's very well positioned in the assets. And so there is also the potential to break it up, and bring in a couple more restaurants and a couple other small shops.
Operator: Our next question comes from the line of Alex Goldfarb with Sandler O'Neill.
Alexander Goldfarb - Sandler O'Neill + Partners, L.P.: Just quickly on the AAA, the depths of talks you have in Washington. If the rating agencies follow through and actually downgraded the U.S., do you think there's any impact to either Simon or any of the retailers as far as financing? Apart from just a general shift in the market, are there any contracts that you -- treasuries as an underlying reference or any of the factoring that goes on that maybe disrupted? Just trying to get a sense of what the impact would be in your world if that should happen.
David Simon: I don't think so. I mean, we do lease space to the government. And I will tell you that they -- I'm known for checking our accounts receivable every month when I get the report, and they are always 30 days delinquent, so I'm hopeful that they can rectify that. But it is very interesting to note, they are always 30 days delinquent. I mean, I guess in theory, we'd have some risk that, that would not be paid currently, but beyond that -- I mean, the numbers are immaterial, frankly. But beyond that, we don't see any real risk. I mean, look, spreads will invariably widen for all of corporate America and for all asset classes, so we'll be a participant in that. But beyond that, we can't see anything as we study that, that's going to be anything material.
Alexander Goldfarb - Sandler O'Neill + Partners, L.P.: Okay. And then just as a second question is on the discussion of the taxing the Internet sales in folks like Amazon. Is this -- I mean, it seems like it's almost something that Amazon-specific, because a lot of the retailers have bricks and mortar presence, and they also sell their goods online. And I'm thinking about like a store like Apple where they've had tremendous success, rolling out physical locations. So it almost seems like Amazon is unique, as far as more retailers would seem to want to have a physical presence, in which case, they have to collect sales tax. So just curious, if the tenants are indicating that it's more than just Amazon that there's a huge amount of sales that they're losing or if this is just something more Amazon and perhaps, books/electronics related.
David Simon: Well, there is a number of pure online retailers beyond Amazon, like, guilt.com, I'm just naming, Blue Nile, just to name a couple. So clearly, Amazon is the 800-pound gorilla in this area, but there are other pure line -- pure online retailers that are taking great advantage of the government subsidy that's occurring.
Alexander Goldfarb - Sandler O'Neill + Partners, L.P.: But do the retailers have a sense of how much business they lose?
David Simon: Well, they're all very focused on it, so they're feeling the lost -- I mean, what we're hearing is the number of customers go to their store, learn all about it and buy it online, because it's 10% savings, so it's a real issue, and we need a level playing field. There's no reason whatsoever that there should not be. And it's not a new tax, and it levels the playing field. And the fact of the matter is, if a customer wants to buy online over bricks and mortar, and it's a level playing field, then that's the breaks of the game. But if they're doing it merely to avoid an 8% or 10% sales or use tax that they're required to pay, but the Internet retailer ignores it, that's not fair, that's not what this government should be all about.
Operator: Our next question comes from the line of Ki Bin Kim with Macquarie.
Ki Kim - Macquarie Research: Could you give us how -- remind me how much NOI you generate from the strip centers that you own? And if you can, give an update on, if there's any momentum in the small shops space.
Stephen Sterrett: Ki Bin, this is Steve. The strip centers in the aggregate, contribute about 3% to 4% of our NOI, which is just -- it's in the low hundred million dollar range, like $120 million.
Richard Sokolov: On the small shops side, there is a relatively small amount of space allocated to the specialty stores in the strip centers. That business is primarily driven by the big box leasing end. If you look in our supplemental filings, we are seeing momentum there, and adding boxes to that platform.
Ki Kim - Macquarie Research: So it's more in the box space not on the -- kind of in-line -- under -- the small shops space then?
Richard Sokolov: The small shops space is a relatively smaller percentage in that platform than in our other platforms.
Ki Kim - Macquarie Research: Okay. And turning to your 2012 lease expirations. Could you give us some color on what is the advantage, on average of what's expiring in 2012? And if you can, what was the, on the apples-to-apples basis, the sales productivity based on the advantage, historically?
Richard Sokolov: When you look in our supplemental filing, if you look in 2012, we have 9,700,000 square feet expiring. So you can expect that, that is going to be a very fair cross-section of our entire portfolio. And just as an aside, the rent for that is $30.22, so that gives us substantial room to roll those over at higher rent given our current average rent.
Ki Kim - Macquarie Research: Right. I mean, that's all leading towards -- so could we expect, reasonably, in the mid double-digit range?
Richard Sokolov: It is hard to project. It's really a function of the specific state, it's their role, but we've been showing good momentum in our spread over the last few quarters.
Ki Kim - Macquarie Research: Okay. And last question, how do guys calculate when you add new anchors to your existing malls? How do you calculate your expected yields from that? Is that purely from, if they do pay rent, the rent you're expecting? Or is there some kind of formula for the increase that will [indiscernible] that would generate an -- or impact in the mall...
David Simon: You know, it's old-fashioned. It's called a cash-on-cash return. And we do not take into account the hope and prayer of -- that it'll mean something to this tenant and that tenant.
Operator: Our next question comes from the line of Steve Sakwa with ISI Group.
Steve Sakwa - ISI Group Inc.: Just a couple of quick questions. Steve, bad debt expenses continued to stay low, is that expectation for the second half for the year or do you think there's a turnaround in that number, back to more normal $4 million to $5 million figure?
Stephen Sterrett: You know, Steve, the answer might be somewhere in between to the 2. David mentioned, there are a couple of tenants and actually larger tenants that we have on our watch list, we're paying attention to. But the overall receivable environment right now is pretty good. Receivables are down, really half of what they were a year ago, at this time. And so I -- with the exception of a couple of tenants that we're paying attention to, I think it will be a relatively modest the second half.
Steve Sakwa - ISI Group Inc.: Okay. And then David, I know you said you don't like to characterize the malls, Rick does that, so maybe I'll throw the question to Rick. But could you guys just talk, maybe about regional performance and kind of what you're seeing across the country? And I realize you don't give the breakdowns of sales and rent growth between the malls and the Premium Outlets, but is there anything that you're seeing, I mean that noticeable trends between A, B and C in terms of rent growth, sales growth, and I guess anything by geography will be helpful.
Richard Sokolov: Well, but I'll comment on the geography. All of our regions were stronger with good sales growth, but the strongest regions were the mountain, which is Vegas, Southwest, Mid-Atlantic and Florida, weaker, but still growth where the plains and the Great Lakes. Across all the platforms, those properties that are located in tourist market have been substantially outperforming even the overall portfolio performance that we have talked about.
Steve Sakwa - ISI Group Inc.: Okay. And then lastly, David, just talk about the dividend. I mean, your payout is exceedingly low and I'm just wondering what your thoughts are to maybe bump in the second half or is that something that you just kind of wait till the first quarter of next year?
David Simon: No. We're going to -- Steve, we're going to -- as you recall last year, we bumped it up materially in the fourth quarter. So we're going to follow the same procedure in the fourth quarter. It's going to be based upon our taxable income. And based upon taxable income, is certainly -- there is certain amount of volatility with taxable income. But based on what I know today, we're going to have an increase, obviously subject to board approval, but I'm sure our board wants to stay a REIT, okay? We're going to have a meaningful, again, subject to board approval and subject to what our taxable income is, but we're going to have a meaningful fourth quarter dividend increase like we did last year. And then going forward in '12, our annual payout now is $320 million, but my guess is that, as part of that fourth quarter, we'll also set the expectations that what our annual -- our quarterly dividend will be in '12, and again, I would anticipate that there'll be a true-up in the fourth quarter of '12, and that will kind of be the normal routine that we'll get in. Obviously, the true-up will never Hopefully, every be down, but we'll set a number, and then as taxable income gets more clarity, we'll bump it up to the extent that we don't, we're not meeting that.
Operator: Our next question comes from the line of Tayo Okusanya with Jefferies & Company.
Omotayo Okusanya - Jefferies & Company, Inc.: Just a couple of questions with regards to price discovery. The Albuquerque, New Mexico asset, could you just give us a sense of what cap rates that was on -- at? And then also any update on King of Prussia and what could happen in that end?
David Simon: Well, we're not going to disclose it, but with Albuquerque, but I think you'd be pleased. And we're not going to disclose what's going on with King of Prussia other than we're having discussions with our partners.
Omotayo Okusanya - Jefferies & Company, Inc.: Okay. And then, next question, recent article on SNL, just talking about you potentially selling some of your shopping centers. Just curious if you had seen that and if you could make any comments?
David Simon: Well, we've got a couple of centers on the market, and we're in that process right now. But we don't -- we won't announce anything till we have a deal that's essentially done, and at this point, we're in the discussions, and still going through that process.
Omotayo Okusanya - Jefferies & Company, Inc.: Okay. Is there anything thematic about the assets sold? Are they being so weak?
David Simon: No. I think the only important thing to point out is just, we do this -- we've been doing this for several years. We did not do it in '09 and '10, because, obviously, the market was in major restructure, recovery mode. And so this is part of our ongoing process that we tend to look at some assets. We try to sell a couple here and there every year. It's consistent with what we've done in '08, '07, '06. You have all that data out there historically. And it's not a dramatic shift like say, and it's not an overly material the deal, like say, what's Westfield is trying to? It's just an ongoing process that we do, essentially, every year assuming the market conditions are acceptable to sell assets.
Omotayo Okusanya - Jefferies & Company, Inc.: Great. And then just 2 quick ones to Steve. Steve, can you guess what occupancy costs were as of 2Q?
Stephen Sterrett: Yes. They were 12.1%.
Omotayo Okusanya - Jefferies & Company, Inc.: And this is a combined number for the malls and the...
Stephen Sterrett: It is, yes.
Omotayo Okusanya - Jefferies & Company, Inc.: 2Q in the centers, okay. And then in the quarter, other income, there was other within other income of about $30.5 million?
Stephen Sterrett: Correct.
Omotayo Okusanya - Jefferies & Company, Inc.: Could you just give us a further breakdown of what's in that number?
Stephen Sterrett: It is a lot of the miscellaneous stuff at the mall, Tayo, it's everything from stroller rentals, sales of lottery tickets and all that, that various over the last year was, interestingly enough, going back to an acquisition that we did many years ago, we held the key main life insurance for a former director who passed away. And that was a couple of million bucks.
Operator: Our next question comes from the line of Jim Sullivan with Cowen and Company.
James Sullivan - Cowen and Company, LLC: And just kind of a quick follow-up, Steve, on that other income line item. As you compute same-store NOIs, as I understand that other income is in there, is that right?
Stephen Sterrett: If it's related to the property, Jim, it is. But like, for example, this proceeds from this life insurance policy that I mentioned would not be in there.
James Sullivan - Cowen and Company, LLC: Okay, very good. And then second question on same-store NOI, pretty significant increase quarter over quarter, up from the low 2s to 3.5, and I guess, teeing off of what David have to say about feeling better about the outlook for the balance of the year, I guess that's reflected in your guidance, but the 3.5 number this quarter, should we be assuming that, that number of data is achievable in the second half?
Stephen Sterrett: Well, I'll say this, Jim. As David mentioned, it is -- that was off a base that was positive last year as well. And if you look at the second half of last year, our comp NOI growth, as I recall, was in the low- to mid-2s. So we're coming off of higher bases. I think the good news, if you just look at the composition of the 3.5%, 265 basis points of it is percentage -- or excuse me, is minimum rent. I think Rick and David have both mentioned about deal quality continuing to get better, and 50 basis points of it is overage rent. We'll see where sales head, but if sales continue to stay at the percentage increase that we're seeing, it's reasonable to assume that there would be some pop from the overage rent as well.
Operator: Our next question comes from the line of Carol Kemple with Hilliard Lyons.
Carol Kemple - Hilliard Lyons: I just had a question. In your press release, it didn't mention anything about the outlet you all announced in May in Phoenix. Is everything still on track for that center to be built?
David Simon: Yes, we're still moving on that, correct.
Carol Kemple - Hilliard Lyons: Okay. And I know at least 2 of your peers have announced that they're interested in that market. How many outlet centers do you think Phoenix can realistically hold and support?
David Simon: Well, if they all get built, somebody will be a loser, how's that?
Carol Kemple - Hilliard Lyons: That works.
Operator: Our next question comes from the line of Ben Yang with Keefe, Bruyette, & Woods.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: David, in past year, you talked about only buying and owning franchised assets, which I thought included a minimum size requirement as well as anchors. But given that you just bought an unanchored center that was only 220,000 square feet. Is this possibly a signal that you're maybe more open-minded about what you want to buy and own, and maybe in light of the aggressive pricing for high quality assets that you were talking about earlier?
David Simon: Well, look, we are -- it's a very good question. The answer is a couple. One, is we really like this asset and we've looked at a lot of assets like this. This was an off market deal, so it wasn't -- they didn't hire Eastfield to create projections that the people bid on and believed in, and put in crazy cap rates, so we think we bought it right. We still would prefer the bigger, better deals, but some of those are -- there's not a lot on the market. And two, the numbers are very, very aggressive. And I think the other important thing on this is a good -- a very good market. We're in this market, so we know it, we cover it. And as I mentioned to you, this was part of a 1031 -- again, we love the real estate, we think it's got a lot of potential, but it was kind of an off-market deal, very good real estate, fair price for the buyer and the seller, upside good market. 1031, we're very happy to buy it. And we have looked at those kind of centers, but even some of those are just being bid up to what we think are very aggressive levels.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: I mean, why would the seller necessarily not market the deal and potentially leave some money on the table by selling it off-market to you guys? I mean it's no secret that pricing is pretty frothy overall. So I'm just curious, how you guys step in, and how you present yourself and how you end up winning these types of opportunities?
David Simon: Well, believe it or not, we have -- had a history of it. We like those deals the best. That's how we got into the Outlet business. We bought Chelsea. It was a negotiated deal. I bought the -- but low -- it wasn't an option. We've done most of our work in that way. And that's the way we prefer it, doesn't always work out that way. But in this case, our guys did a good job, and people know that we're going to close. So they know when we have a deal, they know we're going to close. And we're fair on that side of the equation. So they have faith that they just know we're going to get the job done.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: Okay, great. And just last question. It looks like you meaningfully reduced the small shop tenants that were on month-to-month leases. Over the past quarter, it looks like it's down about 1.4 million square feet. Is this seasonality or were you able to convert the bulk of this to permanent tenants?
David Simon: Permanent tenants.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: Can you give a breakdown just to give a rough idea of how much demand there might be for those temp to perm?
David Simon: Well, in this case, we had a couple larger national retailers that we've been going back and forth. And I think the bulk of it has been the fact that we just finalized those leases, and extended them and redid them or whatever.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: And what was the average spread for those temp to perm conversion?
David Simon: We don't have that in front of us.
Benjamin Yang - Keefe, Bruyette, & Woods, Inc.: But it's included in the overall metric?
Stephen Sterrett: It was.
David Simon: Yes. Of course.
Operator: Our next question comes from the line of Michael Mueller with J.P. Morgan [ph].
Michael Mueller - JP Morgan Chase & Co: Real quick, David just on the dividend, again, I just want to make sure I heard this correctly. Fourth quarter dividend increased slightly, assuming the board approves it. Is there -- were something similar to a special? And then you would give a sense as to what 2012 could be more on a run rate basis. That was the right way, correct?
David Simon: Yes. Let me -- yes, let me just restate it because it's obviously important. We pay $0.80 a quarter, times 4, that's $3.20. It's very likely that we'll -- in the fourth quarter, dividend declaration, which will be part of our third quarter earnings announcement in November, payable in November, we'll include a dividend higher than $0.80, that will be driven by what our taxable income is. Remember, if you don't pay your taxable income, you can't be a REIT, that would not be good. We're going to pay our taxable income out, right? That will -- by then, we'll have a good sense of '12's taxable income, and our quarterly run rate for '12 will probably be outlined in that context as well. So obviously, it'll be probably higher than $0.80 per quarter, but at that point, we're still, we'll have a better sense of that by the end of the year.
Michael Mueller - JP Morgan Chase & Co: Got it, okay. And then, last question. On Opry, I'm looking in the supplemental share cost for the restoration, it's about $60 million. Is all of that out-of-pocket? Was there insurance proceeds that are coming to play as well, I mean, how do we think about that?
David Simon: Well, just -- we've actually worked very diligently and very hard with our lender. They're providing those funds, and we're suing Aon, who's been our broker for a number of years, unfortunately, has withheld the additional coverage that we think, and we know we're entitled to. And that litigation continues.
Operator: Our next question comes from the line of Robert McMillan with Standard & Poor's.
Robert McMillan - S&P Equity Research: Can you give me what percentage of your 2011, 2012 leasing activity has been completed?
Richard Sokolov: 2011 is substantially done. 2012, we're probably about 35% completed already.
Robert McMillan - S&P Equity Research: And how is that compared with normal?
Richard Sokolov: We're a little bit ahead of where we've been historically over the last couple of years.
Robert McMillan - S&P Equity Research: And can you comment on what retail sectors are doing particularly well, and which ones are doing particularly poor, and which ones you're more optimistic about?
Richard Sokolov: The one that have shown better growth have been the sporting goods, jewelry, women's better apparel and accessories. Weaker areas, obviously, books, women's moderate and junior apparel.
Operator: Our next question comes from the line of Rich Moore with RBC.
Richard Moore - RBC Capital Markets, LLC: I got to say, I like the acquisition of the best asset in Albuquerque, which is my hometown, as it turns out. And I'm curious, beyond the obvious plans for the center itself. Across the street, there is kind of a defunct old regional mall asset. And then, across the other street, there's 1/3 tier general growth asset, that's a regional mall as well. And I'm wondering, if you're thinking beyond the center itself, maybe crossing one of the 2 streets in the future?
David Simon: Well, I think it's -- I think the -- it's not -- look, we've have not -- discussions with general growth, so I'm not -- we're not going to speak on that asset. But I think you do point out that there is potential on the other one, and we're cognizant of that asset and what the potential there is. But certainly, not the general growth asset, I mean, I have no comment on that, essentially.
Richard Moore - RBC Capital Markets, LLC: Okay. So you haven't talked, David, to the private guy that owns the old Winrock Center?
David Simon: Well, we're aware of what -- that could be an interesting situation, but it's too early at this point.
Richard Moore - RBC Capital Markets, LLC: Okay. Because that's a great area, obviously, for a broader retail place, it seems like. Okay, second thing is, I'm curious, why did you say, you don't like to tier assets? That seems like from your guy's standpoint, obviously, you understand all the assets. From the analyst investor standpoint, it's usually helpful to see the kinds of stats that you threw out at the beginning of the call on a more defined and formal sort of basis. I'm curious why not put that tiering together?
David Simon: Look, I just believe that, to me, $1 of cash flow is $1 of cash flow, so and I just don't like, essentially sometimes, what it means internally, but it's not a big issue. I mean, we do it, we look at it, we'll give you data that we think it's important to understand, if we think the market is not appreciating what we've got. And we'll continue to do that, we can cut it 1,000 different ways. Our average is obviously, mean something because of the size of the company. So it's not -- our averages are not insignificant, because it's over a big broad-based. And you know math. You know how math works, right? So it's not just 20 assets that 3 or 4 or 5 could skew the results one way or another. So -- but the important thing is, look, tell us how you'd like it, we'll factor it in. But we've got a business to run internally, and I don't like to characterize assets by tiers, because the fact of the matter is, I want every asset we've got to be better and the best it can be, or we should let somebody else try and achieve that.
Michael Bilerman - Citigroup Inc: Okay. Good. I got you. And then, did you guys look at that Niagara Falls outlet center that apparently Matridge has or is it [indiscernible]
David Simon: Yes. We're more focused on Torano [ph] than Buffalo, frankly. We do -- and again, I don't really know what the deal is, but there are reports that it's in the -- we don't see it necessarily as a top 25 outlet center. We've pretty good familiar with the outlets that are out there, but I'm sure they'll do fine with it, but our focus right now is Torano [ph], not Buffalo.
Michael Bilerman - Citigroup Inc: Okay. All right. Great. And then last thing I had, Steve, I wasn't quite sure if you kind of hit on this, you might've, but percentage rent this quarter were up sharply, and certainly, well above what we had anticipated. And what was the reason for that, do you think?
Stephen Sterrett: Well, it could have been your anticipation.
Michael Bilerman - Citigroup Inc: So that could have been the problem. Yes, indeed.
Stephen Sterrett: But, no. Rich, I think we're just seeing the benefit. I mean, obviously, percentage rents are tough to predict because you have tenants coming in and out of overage rent all the time. But the fact is, if you have the sales growth that we have now seeing for the last 4 or 5 quarters in a row, it has begun to manifest itself in higher percentage rates. It is as simple as that.
Michael Bilerman - Citigroup Inc: Okay. So the -- what we saw in the second quarter could continue to some extent for the foreseeable future?
Stephen Sterrett: Depending on what your assumption is about sales growth going forward, sure.
Operator: Our final question comes from the line of Caitlin Burrows with Credit Suisse.
Gautam Desai : It's Gautam Desai. A couple of questions on the international front. With the recent weakness in U.K. retailers, do you guys think like your dodged a bullet there?
David Simon: Well, look, we know what we're doing, whether we dodged a bullet or not, I don't know. We offered what we offered on Capital Shopping Centres, a price that we thought we could make work based upon our industry knowledge and history of past performance. They didn't consider it. I know that the stock.
Operator: Please standby, your conference will resume momentarily. Again, please standby. [Technical Difficulty]
David Simon: Sorry about that. I don't know if you heard the last part of my response but let me just repeat it. In terms of dodging the bullet on CSC, let me just say this, we all heard a price that they weren't interested in. The stock obviously has not gotten that price since we offered it. Our offer was subject to due diligence, but we felt comfortable in offering that, because we have the history of making acquisitions work, and -- but they were not interested. So that's really all I can say on that. I don't necessarily think we dodged the bullet. We're very comfortable in underwriting. We understood the U.K. market, that's why we thought they should have seriously considered our offers subject to due diligence. They chose not to. But had we done due diligence and felt comfortable with it, we would've made the deal work like we have every other deal.
Gautam Desai : Good. Sounds good. And my last question is, what kind of demand are you seeing for international tenant expansion within the U.S.?
David Simon: Pretty good. In fact, one of the leaders is here, the last 2 days talking a lot of business with us. Rick and just -- but if -- I'd say, it's very positive.
Richard Sokolov: Yes. We're doing a lot of business with H&M, and they're literally, here right now. We're doing business with Desigual, Inglot, Cotton On, Aritzia, AllSaints, those are all international retailers that are looking to expand their footprint in the U.S. and we're getting the benefit of that.
Operator: This concludes our Q&A session for today's call. I would now like to hand the conference back over to management for closing remarks.
David Simon: Thank you, everybody. We are very sorry for that technical glitch. We can blame that on David Contis, because he took our -- my technology room, for those of you who have visited Indianapolis, I gave him by office, so we're in a new room. And we'll, obviously, work this out. But have a great rest of the summer and take care. Thank you.
Operator: Thank you for attending today's conference. This concludes the presentation. You may now disconnect and have a great day.